Operator: Good day, ladies and gentlemen. Today, we are hosting a Conference Call to discuss Cinedigm’s Second Quarter Fiscal 2022 Results. My name is Juan and I will be your conference operator. At this time, all participants are in a listen-only mode. We will have a question-and-answer session at the end of the call . Please limit yourself to one or two questions so that others might have a chance to ask a question. You might reenter the queue. Please note that this conference is being recorded. Your host for today is Ms. Laura Kiernan, Head of Investor Relations for Cinedigm. Please go ahead.
Laura Kiernan: Thank you, Juan. Good afternoon, everyone, and welcome to Cinedigm’s fiscal 2022 second quarter results conference call. Before we begin, I would like to point out that certain statements made on today’s call contain forward-looking statements. These statements are based on management’s current expectations and are subject to risks, uncertainties and assumptions. Potential risks and uncertainties that could cause the company’s business and financial results to differ materially from these forward-looking statements are described in the company’s periodic reports filed with the SEC from time to time. All of the information discussed on this call is as of today, November 15th, and Cinedigm undertakes no duty to update it. In addition, certain financial information presented on this call represent non-GAAP financial measures.  With us today we have Chris McGurk, Chairman and CEO; John Canning, CFO; Yolanda Macias, Chief Content Officer; Gary Loffredo, Chief Operating Officer, General Counsel and President; and Erick Opeka, our Chief Strategy Officer and President of Cinedigm Networks; and Tony Huidor, Chief Technology and Product Officer, are all whom will be available for questions following the prepared remarks.  I will now turn the call over to Chris McGurk to begin.
Chris McGurk: Thank you, Laura. Welcome, everyone. Thanks for joining us on the call today. We're once again very pleased to report record results for this quarter in the first half of our fiscal year. Our first half consolidated revenues were over $25 million, up 90% versus the prior year. And they were over $10 million in the quarter, up 41% from what is historically the seasonally slowest period of the year for our business. But most importantly, we reported record triple-digit revenue growth again for the third quarter in a row for our streaming channel business, which was up 139% in the quarter, and 157% for the first half, led by our exploding ad-supported streaming business, which was up 208% in the quarter, and 247% for the first half.  John Canning, our new Chief Financial Officer will speak to these results more specifically, along with Erick Opeka in a few minutes. Now speaking of our new CFO, we're very pleased to have John now leading our corporate finance function. John has very quickly onboarded after joining us two months ago, and has already an integral part of the senior Cinedigm team.  John is joining Cinedigm at the best possible time when we're experiencing hyper growth in our streaming business and with our balance sheet in mint condition with zero debt and plenty of access to growth capital. We're confident that John's experience will enhance our financial efforts and support our exceptional management team, as well as bolster our financial systems and processes. John came to us with a decade of financial experience working in leadership positions with companies like Firefly Systems an ad-tech startup from Silicon Valley, the Discovery Channel, Clear Channel Outdoor; and my own alma mater, the Walt Disney Company after he spent the first half of his career working for consulting firms, including Deloitte and KPMG. As I've said before on these calls, I believe our senior team at Cinedigm is exceptional and one of the best executive groups in the business. That's one very key reason that the Board and I are so confident about our growth strategy in screening acquisition roll-up initiative. We are absolutely certain that this great management team can handle a company much, much bigger than we are sized today. And we are confident we are going to double and then triple the size of our business very quickly if we continue to execute well on both our organic growth and streaming acquisition efforts.  We plan on continuing the strong business momentum as we further broaden our robust enthusiast streaming channel portfolio and expand platform distribution into the next two fiscal quarters, which are the historically strongest seasonal periods of our business. Erick will talk about those initiatives and the phenomenal growth in all of our key streaming metrics in just a minute. And as I said, with no debt, a strong cash position and access to additional growth capital, we remain in an excellent position to continue on pace with successful accretive acquisitions to drive further growth in our streaming revenues. Just in the last few weeks, we’ve relaunched two of the premium streaming channel services that we acquired over the prior eight months: Fandor, a leading independent cinema channel called the Netflix of Indie Film by the Wall Street Journal; and Screambox, a leading horror streaming channel called The Perfect Horror Streaming Alternative to Netflix by Tech Times.  And then we also recently announced the sixth acquisition of our streaming roll-up initiative, Bloody Disgusting the leading horror site with many multimedia programming and horror experience initiatives attached. With Bloody Disgusting and Screambox in the Cinedigm pool, combined with our decades of experience and demonstrated capabilities distributing films and TV programs in the lucrative horror arena, we plan on nothing less than becoming the number one streaming destination for the millions of horror fans worldwide, who crave the . All told, through these accretive acquisitions, we have brought in to Cinedigm more than 15,000 fresh films and TV episodes and 5 premium streaming channels in less than a year.  Our unique competitive streaming position is the only independent media company with a vast content library, a successful 6 year track record of launching and managing streaming channels, a state of the art proprietary streaming platform and Matchpoint, a huge distribution footprint and a coveted public currency has led us to a very robust queue of additional streaming acquisition targets. And our acquisition philosophy is relatively simple. We target technology, content and streaming channel assets that we believe 100% support and build our streaming future. We focus on accretive acquisitions that can immediately benefit from our infrastructure, technology, content, and distribution to ensure immediate synergies and growth. We will only buy assets at fair multiples to ensure they will be accretive with a focus on our own proprietary deal flow. Much like companies that have grown rapidly by M&A like Zynga and Cisco, we view our competencies in M&A and our platform approach to be a significant competitive advantage. So let me underscore that we are only making accretive acquisitions. And we will finance those deals as appropriate to ensure that outcome. And we will smartly raise funds to finance those deals based on specific accretive content, technology and streaming channel opportunities. We are not in the business of raising cash and stockpiling it on our balance sheet. We have turned down multiple opportunities to do that. We will only look at options to finance accretive deals in the future at the lowest possible cost of capital, combined with the highest potential return to continue to create shareholder value.  Now, I will hand things over to John Canning, our CFO, who will speak to our results in the quarter and year-to-date periods. And then Erick Opeka will speak to our streaming results, phenomenal streaming metrics growth and strategy. Following that, we'll take your questions. And finally, I'll provide some closing remarks. John?
John Canning : Thank you, Chris. And good afternoon, everyone. I'm really pleased to be here with you to discuss our results. I'd like to cover some of our key second quarter and year-to-date results with you before handing it over to Erick. Our consolidated revenues were $10.1 million, up 41% over the prior year quarter, driven by several factors, including the addition of new streaming channels, and expansion of the company's distribution with new and existing Smart TV platforms, deploying new advertising technology from streaming partner Amagi, which had a material impact on the company's advertising fill and CPM rates, and Digital Cinema equipment sales.  Our total operating expenses declined 6% in the quarter versus the prior year quarter, primarily driven by lower depreciation and amortization expense in the Cinema Equipment segment. Our adjusted EBITDA was $0.7 million in the current quarter, versus a negative $1.1 million in the prior year period, representing an increase of $1.8 million. This was driven by our significantly higher revenues and reduced operating expenses. We recorded a net loss of $0.3 million or nil, zero per share, versus net loss of $26.6 million or $0.23 per share in the prior year quarter. This was an increase of $26.4 million or $0.23 per share. Now on to our key first half financial results for the six months ended September 30, 2021. Let me just say that this is a very -- it is very important to look at our year-to-date results versus just quarterly results. That's because we're in a period of volatile hyper growth in our streaming business coupled with the significant historical seasonality that Chris noted. Plus, we always face the usual timing issues in quarterly cutoffs. So in our two most seasonally slow quarters, the fiscal first and second, our consolidated year-to-date revenues were $25.1 million, up 90% over the same period of the prior year, driven by several factors, including the addition of new streaming channels and expansion of the company's distribution with new and existing Smart TV platforms and Digital Cinema equipment sales. In the first half of the year our adjusted EBITDA was $6.2 million, versus a negative $1.3 million in the prior year period, representing an increase of $7.5 million. This was primarily driven by significantly higher revenues. We also generated net income in the first half of $4.8 million, or $0.03 per share, versus a net loss of $46.6 million or $0.45 per share in the same period of the prior year, an increase of $51.4 million or $0.48 per share.  It is important to note that we carefully assess the tradeoff between our bottom line and spending against growth and market share when we have high return opportunities. In this hyper growth period where we are operating with little competition, and with multiple new business opportunities for new content, streaming channels and technology presenting themselves virtually every week, we will often opt to spend behind accretive growth. We believe that this is the proper tradeoff to make for our shareholders at this explosive growth moment in the streaming business, particularly when we have demonstrated positive net income already this year, when most of our streaming competitors are losing tens of millions of dollars annually, if not quarterly.  We ended the quarter with a very strong balance sheet including $12.6 million of cash and zero deaths. As Chris emphasized, that sets us up very nicely to pursue additional accretive growth opportunities that immediately leverage our assets, capabilities, technology, and unique competitive position in the streaming ecosystem. Also in the quarter, we set up a facility with B. Riley, which we plan to utilize only for accretive acquisitions on an opportunistic basis.  Now, I would like to hand it over to Eric.
Erick Opeka : Thank you, John, and thanks to everyone for joining the call today. Our technology-centric approach to the scaled enthusiast streaming market continue to show immense progress this quarter as we reached new records for revenue growth. This has been driven by a razor-sharp focus on partnering with or acquiring the best brands and companies in streaming, by growing and scaling audiences in minutes viewed and leveraging our proprietary technology to launch, distribute and monetize as broadly and as quickly as anyone in the industry.  We've completely transformed our business over the past few years while becoming a leader in tech-enabled independent streaming entertainment in the U.S. We developed a high growth streaming and digital business by driving rapid double-digit organic growth on top of our accretive roll-up strategy to acquire channels and content that enables us to super serve our audiences.  At the same time, we have continued to reduce costs by streamlining our operations and expanding the capabilities of our industry-leading proprietary Matchpoint technology by further automating our internal digital supply chain, whie also expanding the number of key partnerships across the digital and OTT ecosystem. Matchpoint is Cinedigm's engine that enables the company's growth and I will discuss in a moment the increased focus investment on this area as that we're currently planning. But before I discuss our streaming results, I wanted to provide some industry context around the significant opportunity in front of us that frankly continues to become an even bigger opportunity each year.  Each month nearly 214 million U.S. users watch programming on connected televisions. This number is expected to continue to rise as legacy television subscriptions are abandoned and more users migrate to Smart TV ecosystems as a primary or even sole way they consume entertainment. A recent article in Business Insider expects more than $11 billion of ad spend to shift into connected TV over the next 36 months. But these shifts are not just happening years out, they're happening right now. When media buyers were surveyed by Business Insider earlier this year, more than 60% of them said they're shifting ad budgets from linear television to connected TV and OTT in the concurrent 12 months. Due to these trends, connected TV advertising growth has become the fastest growing segment of any advertising channel in the U.S. market driven by a 40% increase overall in the segment in the last year. This growth is also continuing in the subscription side of the business, a major trend that we are seeing that bodes well for our enthusiast streaming strategy on the horizon, what is called subscription stacking or subscribing to multiple streaming services.  While household penetration of SVOD is peaking overall and reached about 84% of U.S. households having at least one service according to a study by research firm and peer analysis, more than half of these households now have access to three or more services, up over 48% from last year. The study identified a segment noted as super stackers who have five or more services. These users now make up more than three in 10 U.S. households. Given that the average U.S. household watched around 14 channels on average, in the cable era, we see a significant opportunity for continued stacking, especially with enthusiast channels. And we think our enthusiast channels are the perfect complement to general entertainment services as consumers are now able to fulfill what they've always been asking for, the ability to build their own bundle.  To capture this incredible market opportunity ahead of us in the ad supported content environment, we have completely transformed our company into a technology-centric streaming company. With our Matchpoint technology we can scale the operation, distribution, consumer apps and analytics of our streaming channels and content across hundreds of consumer touchpoints with ease, whether they are own apps, third-party marketplaces, or even content licensing partners. This technological proficiency is not only the engine of our current growth, it is also the competitive advantage that enables us to deliver superior economic returns due to our lower total cost of operation versus our peers. It also enables us to more systematically and cost-effectively engage in our M&A strategy where we find attractive streaming prospects that we can make even more attractive once we apply our tech to enhance their distribution and monetization.  As the growth engine of our strategy, we plan on doubling the engineering and operations workforce in India over the next 12 months. This investment will enable us to further the development of machine learning and AI-based technologies, expand process automation and further systematize and streamline the integration and operation of new channels that we acquire. Our vision is a scalable technology platform that can manage a massive library of hundreds of thousands of titles and support tens of millions of users that can consume billions of minutes viewed per month.  Now, let's discuss our recent streaming related results. As Chris stated, our streaming channel revenues, where we operate ad supported and subscription streaming services, were up a 139% over the prior quarter and were up 150% in the first half over the prior year period. As part of streaming channel revenues, our ad supported streaming channel revenues increased 208% and increased 240% over the prior quarter and first half respectively. This substantial increase in segment revenues reflect several key initiatives. First, we spent the last quarter intentionally focused on the continued optimization of our ad stack, which resulted in providing more ad opportunities to higher performing ad partners. Additionally, we spent a considerable amount of effort on optimizing our programming strategy of our networks.  We've been utilizing Matchpoint’s data analytics to inform our programming strategy on linear, which has resulted in record-setting watch times in several of our properties, resulting in consequently higher ad revenue. Finally, we've continued to expand distribution of our channel footprint and channel distribution, which also drove increased monetization. Onto the subscription streaming channel revenues, they increased 73% and increased an 80% over the prior year quarter and first half, respectively. This was predominantly due to increased distribution of our channels onto new platforms, including an expansion of our services on Comcast and YouTube TV. We also began the process of refreshing and relaunching our recently acquired streaming services Fandor and Screambox, as Chris noted, there seems strong increase in subscribers, as we've added hundreds of new titles to each service. Finally, we've continued our efforts to expand wholesale subscriptions with MVPDs, telcos and other bundling partners. These deals are lower ARPU, or average revenue per unit, or user to drive a larger base of subscribers quickly, providing a cable like predictable revenue stream that can be substantial as we expand that model. In aggregate, our combined streaming revenues were up 139% to $4.5 million and up 157% to $8.6 million over the prior quarter and first half, respectively. It's important to note that due to a lot of big numbers in the future quarters, we're forecasting mid to high-double-digit growth. But comparisons will be with prior smaller revenue basis quarters that had higher growth rates. That point aside, we still anticipate significant growth for the foreseeable future.  This revenue growth has been impressive and has been driven by equally impressive growth in our viewership KPIs. Total streaming minutes in the quarter rose to 1.22 billion, up 189% from the prior year quarter. It’s a very strong showing despite as we had noted the late summer, early fall being the slowest viewing quarter of the year, due to the tailing of summer and the beginning of the school year.  Cumulative minutes midstream in the first half were 2.59 billion, up more than 233% over the 778 million streamed in the prior first half. Total monthly ad supporting streaming channel viewers in the quarter were 32.9 million, up 122% versus 14.8 million in the prior year quarter. This number is important to note, because it is the predecessor to generating ad impressions and ultimately revenue in the long-term. Total subscribers to the company's subscription video streaming services increased approximately 717,000, up 469% from the prior year quarter, and up sequentially 5.6% from the prior quarter. In addition, during the quarter, we successfully launched Real Madrid TV, Robert Rodriguez's El Rey Network, and The Only Way is Essex or TOWIE as it's called affectionately by All3 and its fans, with All3 Media. In just the first full month of operation, noting that we launched these towards the end of the quarter, the three channels are already delivering more than 5.6 million monthly viewers. We also closed the acquisition of Bloody Disgusting as noted, a premier multi-platform horror company with more than 20 million users. We've expanded the distribution of our linear channel offerings and subscription offerings to Comcast Xfinity, Dish's Sling TV, and YouTube TV. And as we noted, completed the relaunch of Screambox and Fandor and moved them on to Matchpoint from other non-proprietary platforms.  And last but not least, we launched two key NFT initiatives Fandor Selects and Bloody Disgusting Blood Packs, as we have recently put those in the market and continue to get data to inform and further develop our NFT strategy.  Turning now to our long-term strategy. Our strong results this quarter illustrate the soundness of our two-pronged strategy for growth. Leveraging our Matchpoint tech platform to continuously expand and monetize our existing streaming assets while providing us a highly differentiated competitive advantage from rest of the market as we execute on M&A growth strategy. As we execute this plan, I'd like to reiterate the recent long-term goals we've stated as that we expect to occur over the next three to five years. First, we're targeting at a minimum 50% annual revenue growth in streaming and digital; we expect to grow revenue 250 million annual revenue run rate through organic and acquired revenue; will increase our monthly viewers to over 40 million monthly viewers; and grow our engagement to more than 1 billion connected TV minutes per month; and last but not least, grow our content library to more than 75,000 film and television titles.  With that, let me turn things back over to Chris.
Chris McGurk : Thanks, Erick. I believe it's very clear that our screening momentum continues to surge ahead, having now registered three triple-digit streaming revenue growth quarters in a row. Our future is brighter than ever. Expect more news in the immediate future as we continue to build our robust enthusiast streaming channel portfolio and execute our successful accretive acquisition strategy on our way to doubling and then tripling the size of our business just as fast as our exceptional management team can.  And with that, we will now take questions. Operator?
Operator: . And our first question comes from Dan Kurnos from Benchmark. 
Dan Kurnos: Congrats, guys on the progress, some really meaningful improvements in some of the underlying KPIs and also really appreciate you guys starting to break out some of the more detail around SVOD and AVOD and some of the underlying strategies. I think today, you made it pretty clear on a couple of fronts that whether it's another partnership or M&A, there’s probably some incremental news coming. So maybe just want to talk a little bit about this strategy going forward here. You guys have clearly moved up here. You're starting to expand. You've got a much larger and broader distribution footprint as well as content. So I know you guys have been and continue to be sort of the aggregation of enthusiast network. Are you now considering broader, bigger library purchases that touch multiple verticals? Are you looking at more kind of larger plays in the individual verticals where you think you have leverage? And how does that play into continuing to expand your distribution footprint knowing that there are probably a bunch of decisions to be made by the OSs in terms of channel lineup and placement as we head into the new year?
Chris McGurk: Dan, let me just quickly give you a top line answer to that. And I'll turn it over to Erick who can go in more detail. But I think the answer to your question is really we're looking at all of the above. We're looking at targets that will increase the quality of our portfolio, expand our distribution, both here and internationally. And get us a footprint in verticals that truly have a real upside on a global basis that possibly we're not operating in right now.  I think the other thing that's important is in the next calendar year, we're going to be very focused on looking at an idea that we've talked about in the past which is umbrella Cinedigm channel and I won't get into that in too much detail on this call. But we're looking at opportunities that will clearly support the various effective quick rollout of that umbrella channel to get it up to scale as quickly as we possibly can. And that's another factor that we're considering. But I'll let Erick get in some more detail. Go ahead Erick. 
Erick Opeka: Yes. Thanks for your question. I think as you look at on two sides of the coin, right, just in the organic growth, our -- we have really dramatically upgraded our partner base, both in brand licensing, joint ventures, partnerships, between American Public Media and Bob Ross, All3 Media; authentic brands with Elvis Presley Channel, Real Madrid. So I think, in a lot of cases, success begets success and we are attracting a lot of similar high quality opportunities on the organic side. We think those are, as we -- I go back to our notion of a portfolio strategy whereas you continue to add -- like any portfolio you want to add bigger and better prospects with higher growth potential, global potential. And we're doing the same thing on the channel side. So on the organic side, we're going to continue to do that, continue to improve the portfolio by bringing in great brands, developing great brands.  On the acquisition side I think we're doing the same thing, right? We've acquired a nice array of properties that have given us some pretty strong market positions in verticals that we think have a lot of strength. But I think as we look to next year as the market really -- as you know, both our platforms, our partners are really coming to us and looking to us for solutions in a way that they haven't previously. So I think, as we look at M&A to fuel growth, I think our focus is going to be on larger opportunities that fit within the verticals that we're starting to have strength. And I think moving up market there is going to be a big priority for us as well. 
Dan Kurnos: Got it. That's super helpful. I won't press you on the Cinedigm umbrella channel. But given the groundwork you guys have laid with your international partnerships and the bundling, which obviously is going to significantly lower your CAC, it feels like a pretty easy lift from here. So, congrats guys. 
Chris McGurk: Dan, we will speak more to that on the next earnings call in February. 
Dan Kurnos: No, it sounds good. I don't want to front run anything in terms of what you guys are planning or don't want to say yet, but clearly you guys are building it. So it sounds like an incredible opportunity for you guys to leverage. 
Chris McGurk: We agree. Thank you. 
Operator: Next question comes from Laura Martin from Needham. Please Laura your line is now open. 
Laura Martin: Hi, there. I'll ask three for most detail, it’s a bigger picture, first, CPMs, average CPMs you're getting and how much of your ad revenue is made programmatically versus a non- sales force? That's the first. Second one. I'd love your opinion on FAST channels versus AVOD pros and cons? And third you brought up NFTs. So interested in how big you think those could be over three years? And more interestingly, really the most interesting question in streaming right now is how you guys think about the Metaverse and how your company fits inside this trend towards the virtual reality of the future that Facebook is talking about? 
Erick Opeka: Hi Laura. This is Erick. So I'll take each in order. So on the CPM side, we're entering our busy -- the busiest seasonal quarter. Throughout the year, we're averaging -- we typically average in the mid-teens, we get into the high-teens to low 20s, as we get into the holiday season. We're considered as -- with enthusiast channels, even though we're in the enthusiast space, we're still considered, because we're relatively new player to the market relative to some of the bigger names. So we're considered a broad based value play. So that's reflective of our CPMs. We actually think that is a very good place for us to be right now, as that some of the supply chain uncertainties are causing some of the bigger campaigns to be -- there's some uncertainty around those, a lot of dollars are flowing into programmatic and value where they're getting a lot more value for the same amount of -- for the ad spend that they are putting out in the market. So in terms of direct versus programmatic today, so while we have several agency partnerships that are doing direct sales, I would say the vast majority of our revenue today comes from programmatic and private marketplace deals. We think as we continue to scale, the direct additional sales component is going to be a key focus. Probably, we're going to start looking at that mid next year. We've been in that, I'll call it, the awkward teenage phase, where we're probably big enough to support it. We're again very close. But the cost structure kind of would negate some of the benefits until we add a little more scale. We're starting to see the benefits of that scale and we think, as we look forward into next year with some M&A things that we may or may not do and other things, it's -- like we said, M&A is a big part of our growth, so we think, we should have the scale or that starts to make sense next year if we do execute on the things that we would like to do.  In terms of FAST versus AVOD, I think, as we look at the -- for us, we see -- we're leaning into the FAST side, we have been leaning into the FAST side, just due to the lower cost of getting those ad impressions and users, being baked into the OS one button away. You see a lot of -- a lot of companies have been buying buttons on remotes, well you almost have the same relative effect of high scaling growth in users of a button placement by being in the FAST environment where there's maybe at best a few hundred choices, and, when we have somewhere in the neighborhood of 10% on some of these services of the available channels, we're starting to see a lot of activity there.  We're not saying we're not also bullish on AVOD, that will be a core focus of our call it the mothership channel strategy around a bigger channel play, encompassing all of our content and brands. But obviously, that requires a much more sizable investment in acquiring customers and getting app installs and getting an install base. We have a good install base across our current network of channels and apps, but we think we're going to have to invest more into that for us to have an effective AVOD strategy going forward.  In terms of NFTs, I think our prospects on that business, it’s -- we think it's very early days, where we think we may end up being -- where as we look at the NFT market -- if you look at us as a technology oriented company, one of the biggest opportunities that we see that will drive partners to us, is if we can leverage our Matchpoint technology to really make NFT offering, distribution for entertainment companies, integrate it into the workflow -- their current existing content workflows, and leverage the same assets that they've already spent a lot of time and money investing in. We think we've got some good ideas around that. In effects, could you be, in Adobe of NFT, creation for NFT companies. That may be a lofty goal, but we think on a very small scale, that could be a place for us. So, I think it's too early days to predict where that will be in terms of revenue for us, since we're just now assessing the market, but we're monitoring it very closely, and we think like in any sort of new technology being a pick and shovel creator versus part of the gold rush could be a quite lucrative strategy for us on that front.  Lastly, as it relates to the Metaverse, we think -- when we talk about our enthusiast channel strategy, a lot of what we've been talking about to date has been video. But if you kind of look what we're doing with Bloody Disgusting, we think there's a broader approach to being enthusiast. Consumers who are enthusiast into web horror, don't say, I love or video or I only love horror podcasts, or I love horror editorial content, they love horror. And so we want to super serve them throughout the entire richness of whatever vertical area that they're into. So where the Metaverse is quite unique is, if you take a company like Bloody Disgusting, where we have podcasts, audio, a robust editorial video, and can we use technology within these emerging Metaverse environments to build super serve fan experiences within them, I think we have the tools and the makings of a business model that can be quite compelling where we could cater specific experiences to people's unique fan interests within these emerging environments.  So we're looking closely at it and I think we're putting the pieces together. Our strategy is to own a vertical end-to-end not just in video but podcasts, consumer experiences and so forth. So I know that was a lot of information there. I hope -- I don’t know if you had any follow up questions on any of that. 
Laura Martin: No, awesome. Really liked the thinking on the Metaverse fit. So nascent. I really appreciate your thoughtful response. Thank you. 
Chris McGurk: Sorry, Erick was going to announce we’re going to do a Bob Ross Metaverse, but just -- are there any questions?
Operator: We currently have no further questions. I will now turn over to Chris McGurk for any final remarks. 
Chris McGurk : Thank you, Juan. Thank you, everyone, for joining us today and for your interest in Cinedigm. To quickly summarize, for the last three quarters, we have recorded extraordinarily strong, triple-digit streaming revenue growth results as we delivered on our promise to shareholders to transform our business into a high growth independent streaming company with a broad portfolio of enthusiast channels and content. This strategy is enhanced by our unique array of assets and capabilities, along with our proprietary Matchpoint technology platform. Combined, all those assets cement our position as a leader in the streaming industry that more and more blue chip partners are turning to for streaming solutions. We’re in the strongest position we've ever been in financially, operationally, competitively, and from a management talent standpoint.  We expect to generate both strong organic growth and acquire growth by targeting smart accretive acquisitions that accelerate our streaming momentum. The future looks very bright and we are delighted to have such a supportive investor base behind us.  Please follow up with Laura Kiernan and the team at High Touch Investor Relations with any other questions you may have. She can be reached at cinedigm@htir.net. We look forward to speaking with you again, when we report our third quarter and nine month results. Thank you all very much. 
Operator: This concludes today’s call. Thank you for joining. You may now disconnect your lines and enjoy the rest of your day. 